Operator: Good day ladies and gentlemen, welcome to the third quarter results 2025 analyst conference call of FUCHS SE. This conference will be recorded. [Operator Instructions] May I now hand over to Andreas Schaller, Head of Investor Relations at FUCHS SE, who will start the meeting today. Please go ahead.
Andreas Schaller: Yes. Thank you, Sharon. Good afternoon, ladies and gentlemen. This is Andreas Schaller speaking. On behalf of FUCHS SE, I wish you a very warm welcome to today's conference call on the 9 months earnings. Before we start, maybe let me quickly introduce myself. I'm the successor of Lutz Ackermann as new Head of Investor Relations at FUCHS SE. I have almost 25 years of experience, having worked in various sectors like semiconductors, building materials and also machine building. And now I'm at the company that supplies all these sectors with very innovative lubricants. So I'm very happy to be here and look forward to discuss the FUCHS equity story with you and support you together with my team whenever you have questions. With me on the call today are our CEO, Stefan Fuchs; and our CFO, Esma Saglik. As always, Esma and Stefan will lead you through the presentation, followed by a Q&A session. We also have the Investor Relations team here with us. So Theresa Landau; and Niclas Neff. And actually, it's Niclas's birthday today. So happy birthday, Niclas. Yes, all the documents to this call, you can find on our web pages, and you've seen that you have them in front of you. Please be also aware of our disclaimer on the last page of the presentation. And now it's my pleasure to hand over to Esma. Please go ahead.
Esma Saglik: Thank you, Andreas. And first of all, happy birthday to you, Niclas. And secondly, Andreas, great to have you here and welcome you on board actually. We are really looking forward to work with you. So -- but let's go and talk about our financial highlights for the third quarter. After a tough second quarter, we saw a strong recovery in Q3. But still, the environment is challenging, especially in Europe, where the demand remains weak. Mainly uncertainty in the market overall continues. Despite all the volatility, we managed to grow our business, both organically and through acquisitions. Sales rose by 1% to EUR 2.7 billion. Currency effects had a negative impact of EUR 51 million, mainly due to the stronger euro versus the U.S. and Australian dollar and the Chinese renminbi. EBIT also developed positively in Q3, even exceeding last year's Q3 results. After 9 months, we reached a profitability of EUR 326 million, which is EUR 8 million or 2% below the prior year. So what were the key drivers? It was a strong business mix, especially in North America, continued growth in Asia, here to mention China and the first effects from our cost measure initiatives we have initiated a quarter ago. Our free cash flow came in at EUR 181 million, which is a solid result. So all in all, we are on track, and that's why we confirm our 2025 outlook as communicated in July. On the next slide, you can see the sales development by quarter. Compared to the previous quarter, sales increased by around 2% to EUR 869 million (sic) [ EUR 896 million ]. The growth came from all regions. However, if we compare it to Q3 last year, sales are down by EUR 6 million. This decline is mainly due to negative currency effects impacting the quarter by EUR 32 million. As we all know, the euro continued to get stronger in Q3, which led to a higher FX impact than in the first half of the year. Looking ahead, we expect Q4 revenues to remain broadly in line with our prior year. Let's move to the next slide and take a look at EBIT on a quarterly basis. The picture has changed compared to the last quarter, which is actually a good signal. We can see an improvement of 16% in EBIT sequentially, and we are even slightly above our strong third quarter of last year. For the last quarter, we expect EBIT to develop in line with our expectations, which would bring profitability to almost the same level as last year. Having a look to our group sales development, we are actually happy to see sales growing year-over-year and this both organically and through acquisitions, despite the tough market conditions we are facing right now. As of September, sales reached EUR 2.7 billion. That's a year-over-year increase, as mentioned, of 1% or EUR 34 million in absolute terms. Both organic growth and acquisitions were contributing equally to this positive development. The organic growth came mainly from Asia Pacific and the Americas, which is underlining the strength of our local-to-local strategy and the strategic investments we have made over the past years. The growth of these 2 regions was even being able to offset the moderate organic decline we have seen in EMEA. On the external growth side, our acquisitions, especially LUBCON and STRUB, now FUCHS SWISS LUBRICANTS made a strong contribution. Further additions came from BOSS and IRMCO, both being a part of FUCHS since beginning of this year. As you possibly read in the news, early October, we expanded our presence in Switzerland by acquiring our long-standing distribution partner, ASEOL SUISSE AG. This company will be merged into FUCHS SWISS LUBRICANTS by the end of the year. Despite all the good development at the top-line, unfortunately, a part of the growth got offset by negative currency effects. Taking a closer look at some of our KPIs about sales and EBIT, we have talked already. Looking to our gross margin, we see a steady improvement. Year-to-date, our gross margin stands at 34.9%, which is above last year. On the other hand, our functional costs increased also, mainly due to recent acquisitions we made, inflationary cost increases and onetime investments we did for new customer projects. Some of these costs are one-off costs or pre-investments, which will be -- which will normalize throughout the year. However, the rising cost base due to inflation still needs to be taken or needs to get closer attention. To manage this development, we have introduced cost control measures as we have announced also in our last call, of which we could see positive effects in Q3. So far, EBIT is down 2% year-over-year. But towards the year-end, we expect to reach prior year levels. Our key balance sheet indicators are on track. As of September, free cash flow reached EUR 181 million and both CapEx and the change in net working capital are almost in line with last year. So looking into the regions, in EMEA, the main growth driver are our acquisitions, which successfully offset the organic decline. The decline in organic sales is mainly due to the challenging economic situation in Europe, here, especially the weak automotive manufacturing sector. On the positive side, the acquisitions supported not only on the sales growth, but also contributed positively to earnings. I think it's also worth to mention that by the end of Q3, total profitability in EMEA was slightly above the prior year's level. I think that's a good sign despite all the difficult market environment we are facing in Europe. Moving over to Asia. The main growth driver in the region was clearly China, which showed an excellent result. Our decision to invest in local production is really paying off. India also gained momentum and grew faster, while Australia continued its positive trend, especially supported by solid growth in the automotive aftermarket segment. All of this together led to a profitability increase of 17% year-over-year. So in summary, the development in Asia Pacific is very positive and clearly confirms the strength and the potential of our regional strategy. Now coming to North and South America. As we all know, the region has been a bit volatile in recent months, mainly due to ramp-up activities and the unfavorable product. After a challenging Q2, we saw positive momentum in Q3. Sales increased compared to the previous quarter and EBIT improved, reaching its strongest level so far in 2025. The main drivers are a better product mix and the improved cost base we are seeing in the U.S. The one-off costs related to the Mercedes business are largely behind us and volumes are ramping up, which is a positive sign. So in summary, year-to-date, sales are up 2% and profitability is recovering. Now turning to the development to our net liquidity. Earnings after tax were close to last year's level. CapEx was in line with our expectations and the contribution from net operating working capital was also roughly on prior year level. As a result, free cash flow before acquisitions reached EUR 181 million by the end of September. However, despite the solid operating cash flow, dividend payments and acquisitions led to a cash outflow, which reduced net liquidity to EUR 30 million. On the next slide, we take a closer look at the quarterly development of our working capital. Overall, we see the usual seasonal pattern, an increase over the course of the year, followed by a reduction towards the year-end. The increase in Q3 is actually cutoff related. Inventory increased to prepare for a stronger sales month like October and November. Positive to note is that we managed to improve net working capital compared to last year, both in absolute terms and also as a percentage of sales. For the fourth quarter, we expect a typical seasonal decline in working capital as we move towards the year-end. Now a quick look at raw materials. For base oil, we saw only minor price movements in the past quarter. Euro-dollar currency effects are positively contributing. Looking ahead, base oil prices are expected to soften slightly. When it comes to the additive packages, prices remained broadly stable during Q3. But here as well, we expect a slight softening in the near future. However, developments around tariffs and current exchange rates remain uncertain and should be monitored closely as they could still have an impact on the material prices. As you know, in July, we have adjusted our outlook, which we confirm now again. We expect sales to remain at the same level as last year, slightly higher in volume, but balanced out by currency headwinds. For EBIT and our FVA, we expect 2025 to close at a strong level as 2024. When it comes to the free cash flow before acquisitions, we assume a normalization after last year's exceptional results and expect to land at around EUR 260 million. So in summary, 2025 is expected to end at a similar level as last year, which is a solid result, especially considering the high uncertainty in today's market. We are confident about our future because we have a strong business foundation, resilient structures and above all, very committed and motivated teams. But at the same time, the market environment remains uncertain. So therefore, we have to watch closely the market developments and be prepared to any potential headwinds. With that being said, I come to the end of my financial presentation, and I would like to hand over to Stefan.
Stefan Fuchs: Thank you very much, Esma. Before we enter your questions, and we will answer a few slides about news from the FUCHS world since we met the last time. And I think the first part, Esma already mentioned, with 70 subsidiaries across the world, we were blank in Switzerland. So we had no subsidiary. We had a distributor there and Switzerland is a high-tech country. And it was very nice that when we took over LUBCON, they had a subsidiary in Switzerland, and then we acquired STRUB at the end of the year. And we have now a facility in Reiden in between Rudesheim and Basel. It's a modern facility. The building you see here on the picture is like an old, abandoned part of the property, which we will demolish moving forward. But now we have merged the 2 companies, LUBCON and STRUB and have renamed them in SWISS LUBRICANTS, and we have now also acquired the ASEOL distributorship. And all in all, we have now about 50 people on the ground, and we have revenues of CHF 20 million, which are nowadays EUR 22 million. And I think that's a good basis to grow in the future. So that was for us a really nice development. And then in the next slide, as you all know, sustainability is very important to us. It's at the bottom of our heart. And the economic part, Esma went through, I think the third quarter was on the good old track record you know. So on the economic side, I think we do well in the current circumstances. But I want to go into the other 2 parts. And if you go on the ecological part, the one part is lubricants themselves have a positive impact on the CO2 balance of our customers because they hinder wear and tear, but they also prohibit corrosion and many other things. They cool the electric -- they help the electric productivity. But our customers also want to know in the sheer chemistry, how much CO2 footprint is in each kilogram of the products we deliver. And we have an automated system now built in our recipes in SAP. But obviously, we need to make a couple of assumptions. And to be clear, we have them certified by the TUV Rheinland. I think we are front runner in the lubricants business that we can now tell our customers with a click on the mouse pad what the CO2 balance per kilogram is. I think that was very important for many of our customers. And then on the social side, we have a lot of social projects around the world. So our people are there not only for making money and succession planning in the countries, but also to be a good citizen. So we have a lot of social projects in the south side of Chicago, outside of Johannesburg, in Mumbai, wherever our plants are or in Sao Paulo, and we have scholarships and things like this. And in Germany, our flagship part is our FUCHS [indiscernible], how we call it. We do that since 26 years. And we started humble and now we have increased the amount to EUR 75,000 last year because it was the 25th Jubilee of that sponsorship award. But now, as Esma said, with the cost the volumes, we turn around each euro on marketing, on traveling, on consulting. But that part, we wanted to keep because it's very important for us and the region. And it's not only spending EUR 75,000, but it's also to provide a platform to all the people who do that and sacrifice private hours in doing social work. And as it functions, we have 50 applicants for projects, and they go through the city of Mannheim through their social welfare department. And then we actually celebrate 16 projects. There are 100 people here, the mayor of Mannheim is here, and we spend 2 hours with them, and they give us feedback what they do with the money. So it's a very emotional part, and I just wanted to share that with you. It was 2 days ago, and it's always a very nice ceremony. Now I hand back to Esma for a last slide for an announcement, and then we are happy to enter the discussion.
Esma Saglik: Yes. And we are happy to announce our next Capital Markets Day which will take place on Thursday, April 16 next year at our headquarters here in Mannheim. This event will be a special one for us as we will officially launch our new strategic program, FUCHS 100. You all may heard already, this strategy is led by our Deputy CEO, Timo Reister, which will guide us from 2026 to 2031, the year where FUCHS will celebrate the 100 years of anniversary. So we are very much looking forward to welcoming you here in Mannheim and sharing our vision for the future with you in person. A formal invitation will follow in the coming weeks. And I think with that being said, looking forward to see you here in Mannheim next year latest.
Andreas Schaller: Okay. Now we can start with the Q&A session, please.
Operator: [Operator Instructions] And the first question today comes from the line of Sebastian Bray from Berenberg.
Sebastian Bray: My first one is on the associates income line at FUCHS. So this seems to be one of the reasons why the margins have held up reasonably well year-to-date. And notably, there was quite an improvement year-on-year in Q3 results. Could you talk a little about what has improved in the equity income associates and if this could be expected to continue into Q4 and 2026? My second question is on the organic volume growth in the Asian market. If you were to just come up with one cause that is driving this versus, let's say, 2, 3 years ago, is it that FUCHS has signed good deals with Chinese automotive manufacturers or other reasons at play?
Stefan Fuchs: Okay, Sebastian, thanks a lot for the question. I will start with the Chinese question, which is very important. As you know, a good part of FUCHS in Asia is China, followed by Australia, India and some other important countries. We are in China since 40 years, and we have spent the last 10 years to really make deep localization in China. So we have built our formulas based on our IP around the world. In China, WE have increased our capabilities with testing products, with developing products and our Chinese colleagues are very fast. You know the terminology of China speed, and that is also true for our colleagues, and they have developed really cool products. And then what we now do, we go with our Chinese OEM customers. And if I talk about OEM customers, they are not only in cars and trucks and construction equipment, but they are also in the machine industry, in the windmill manufacturers in all mining equipment part, we go with them internationally. And I think that's the difference of us to many other German Middle Eastern companies because we very early on said the know-how cannot only sit in Mannheim. And we wanted to really push as one part of our FUCHS 2025 strategy, U.S. and China and the Chinese colleagues have been much faster than the U.S. colleagues. They have also done a good job, but that's the main reason.
Esma Saglik: Okay. And in regards, Sebastian, to your question of our development of the at equity it's actually coming to good business partnering, let's say from Middle East, especially. And yes, we expect here also going forward an improve.
Operator: Your next question comes from the line of Constantin Hesse from Jefferies.
Constantin Hesse: First of all, Niclas, happy birthday. And turning over to the questions. Look, number one would be visibility in '25, right? I think that it goes without saying that you did surprise us with the guidance cut back in July because of a very weak June despite previously having been talked about that momentum remained relatively okay. So I'm just wondering, as we move into the end of the year, how comfortable are you that with the visibility that you have from today that we could potentially not see a worsening situation again and could potentially have to see an adjustment to the guidance or anything like that. So just in terms of visibility, how does it look like until the end of '25 as of today? That's the first question.
Stefan Fuchs: Thank you, Constantin. I'm very happy, especially for Jefferies because we were glad when you took over the coverage and then just you took over and made a recommendation, we had to lower our earnings outlook. So I was a little bit concerned about your mood. But honestly, we don't have yet a good visibility in 2025 moving forward. We were caught by surprise in the second quarter. My reading on that is really that we have just lost a few quarters in North America with regard to local consumption being down on the uncertainty of the tariff for the consumers of white lines, cars, barbecues, whatever we supply there. And that was the one part. Each month is a little bit different. So we had a wonderful July. We had a terrible August. We had a very good September and trading has not changed yet, but you read the newspaper with chip shortages and other things. You never know whatever comes up in the next morning. But we are confident with our outlook. We know that we have to do a little bit better in the fourth quarter compared to last year, which we see it doable. But for us, mainly it was to hit the third quarter. That was very important. And the third quarter last year was extraordinarily high. And I think we made it this year again. And honestly, we didn't have to take the silverware out of the cupboard to show you that number.
Constantin Hesse: Sounds good. So October remains a good momentum so far.
Stefan Fuchs: So far, but honestly, only early January, I can tell you how we close on December. But I mean, from our -- just from a normal bookkeeping, we don't expect surprises.
Constantin Hesse: Sounds good. Sounds great. Look, I just want to have a bit of a conversation. And as we go, a couple of questions on -- one on Capital Markets Day, one on '26. I mean you haven't grown in '24, haven't grown in '25. If I look at '26 overall macro, right, I look at the IMF estimates, there's been some slight tiny upgrades for 2026 numbers. I think the VDMA expects a very small recovery in industrial activity going into next year. So just thinking about the building blocks into next year, without guiding, just speaking qualitative really, is there anything that from an underlying perspective, but also potentially from acquisitions that you've done this year where you could potentially see an accelerated growth profile in '26 compared to '25?
Stefan Fuchs: I think it's an excellent question. And if the one correction I want to make when we say we were not growing. Actually, in '25, we see a volume growth, which we have not seen for a number of years, and that's not 1% or 2%. So we are happy with it. We have -- when we saw the huge raw material increase in '21 and '22, we saw a little bit of softening in late '24, early '25 that is reflected in the selling prices. So when Esma showed you the organic growth, you have the volume growth, you have the selling price in existing business and you have the mix part of it and gaining the Mercedes contract then it's rather on the lower side. So volume growth was there this year. The guidance for '26 was quite a battle internally. And honestly, we have very much push for rather a modest budget. For us, it was important because when we relooked in 2019, we saw the U.S.-China conflict. And then in '20 and '21, we had COVID '21, '22, we had a raw material increase of almost 70%, then we had the Russia war. So each year had something new, then Donald Trump election, then tariffs. And we have not made our internal volume budget for a number of years. we confronted our people in the middle of this year, and we told them we have to learn to make our budget again. So we made sure that we don't have wild dreams on the volume. So each one of them was very modest on the volume internally. Esma provided us with in a positive manner, a very mean allowance for fixed cost increase, and they have all budgeted accordingly. And for me, that's a much better budget because to allow for more spending is an easy exercise. So I think for us internally, it was important really not to allow for dreaming on the top-line, but to make sure we are realistic. I think for FUCHS 2025, we have a number of initiatives going on where we have the business model, but you never know what is happening on the other side. So the volatility is out in the market, but that's a little bit on the basis. I have seen a first time for last night at [indiscernible], but I can't share anything more than that.
Constantin Hesse: Fair enough. That makes sense. Then maybe just on the Capital Markets Day, talking about the target format, right? I mean historically, you've typically given an EBIT target. I'm just wondering going into this one, is there going to be a roughly -- is this the idea to be basically a similar target? Or are you expecting to provide the market with something different?
Stefan Fuchs: I think we will have a target, but the one thing is we will condition the target, what we have not done the last time. And then we will review the target most likely each year and discuss it with you and then correct it down or up, however we are going. But it will be very much conditioned because the last time we just put a number out. And yes, I think what we have delivered last year and hopefully delivered this year is on the current circumstances, not a bad result. It doesn't fulfill our own aspirations, and it didn't fulfill what we were looking forward with FUCHS 2025. But let us discuss it internally, put it to paper. We discussed it also with our Supervisory Board and with our government [indiscernible] we have a whole time line behind and then in the middle of April, we will share and discuss.
Operator: Your next question comes from the line of Michael Schaefer from ODDO BHF.
Michael Schaefer: My 3 questions. And so the first one, I want to come back to APAC growth, which you have shown in Q3 and give a bit more -- maybe a bit more color basically what you really understand on specialties being the key growth components. And maybe looking into '26, so is there -- so what's the kind of growth pattern we should expect, which you have maybe already in the books in terms of OEM model wins and things like that? Any color on the kind of sustainability of the growth trends, which we have strongly seen in '25, which I think is rather triple the growth which you have shown in '24 so far. Any color would be helpful on that one. And the second one is you elaborated on the U.S. market showing a nice catch-up in Q3 compared to a rather challenging Q2. So where are we there now? Is this kind of normal run rate which you have now achieved? Or how should we think about this one going into the fourth quarter? And lastly, third question, on the raw materials outlook, Esma, you flagged basically your expectations for also a decline in the lube additives space and then also on top of the base oil slight decline. So where does this come from this view on lower additive costs? Is this something which you have already signed and in your books? Or just a bit of knowledge on that one.
Stefan Fuchs: I can maybe comment a little bit on the raw material thing. We don't see a material decline coming up on base oils or additives. I would be a little bit careful. And as I've explained to you before, we do half of our stuff more or less related to the dollar, most likely, but half is foreign currencies. And if your currency weakens in South Africa, Australia or China, your raw material costs increase in those numbers. And that more than offtakes if you have a dollar nominated decrease in base oils in Europe. And all in all, if I have to make it a [indiscernible] little softer than a little higher, but we don't see such a material change. So -- and if you look at our gross margin, I mean, we have increased that again now a little bit in the third quarter, but in our comfort zone, knowing the mix of business. But on APAC and then North America [indiscernible].
Esma Saglik: Let me start first with North America because that was actually in Q2 a bit of pain point. If you recall it right, in July, I was saying, first of all, we have the inflated results in North America for the first half. We had a ramp-up of the Mercedes business. We had one-off topics. And now we are seeing actually that they are phasing out. And if you say, is it -- is that now the run rate? No. On the other hand, what we are seeing right now that our specialty business sequentially is picking up. It's not on the level where we have been last year, but the market is slowly picking up on that end as well. So for Q4, our expectation would be at least Americas being on the run rate of Q3, maybe even slightly higher. And that would be actually the average run rate what we would expect for Americas going forward. If it comes to APAC and the growth components, I mean, we mentioned specialty segments, as we all know one of our main growth drivers we are having in China is the wind business. And as of a fact, that one is growing locally, but with the OEMs on site and also in the automotive, we are expecting actually to grow with the OEMs and the producers outsource outside of China. And that's the growth path we are seeing in China going forward.
Operator: [Operator Instructions] And your next question today comes from the line of Martin Roediger from Kepler Cheuvreux.
Martin Roediger: My 2 questions. The first is a clarification question to Esma Saglik. You said in your speech about the outlook that you expect profitability to be almost at last year's level. And then you said EBIT in 2025 will be on a similar level as of 2025. Do you want to convey that EBIT might be slightly below last year's level of EUR 434 million -- that's my first one. The second question is to Stefan Fuchs. You have significant exposure to the automotive industry, and you mentioned already the supply shortage of chips from Nexperia. And we hear some car producers implementing short-time work because of these supply issues. Do you think this could become a concern for you?
Esma Saglik: Let me maybe first start, Stefan, in regards of the similar and maybe and might be. Frankly speaking, Martin, it can be also slightly above instead of being below. And so it's difficult to say -- we say -- let me say it this way. We say we will be on the level of last year. And it was a wording which I was using because I can never say if the dot and comma will actually -- we will achieve. And that was the reason why I phrased this accordingly.
Stefan Fuchs: On the car exposure, as you know, 25% of our business is with trade and automotive aftermarket, which has nothing to do with any car manufacturing. All the chips which are of those cars needing an oil change are already in those cars. When it comes to a major shutdown of the German car industry, obviously, we will also have a dampening impact. But we don't see that at the moment because we supply a lot of grease in those cars, we supply a lot of [indiscernible] in those cars. But I don't see a shutdown coming up like we have seen during COVID. But obviously, there are many other risks you can name, which could still derail our outlook, which are not known yet, but so far, no impact.
Operator: We will now take the next question, and the question comes from the line of Anil Shenoy from Barclays.
Anil Shenoy: I've got 2, please. The first one is on cost-cutting measures, which you spoke of. So you said that you've seen the initial impact of the cost-cutting measures in Q3. So does that mean that we will see the full impact in Q4, which in turn would imply that there will probably be a higher contribution of cost -- from these cost-cutting measures in Q4? And also, if you could give some color on the nature of this cost...
Operator: Apologies, Anil, your line is very quiet.
Anil Shenoy: Sorry, can you hear me now?
Operator: You're still a little bit quiet.
Anil Shenoy: Sorry, any chance you can hear me now?
Stefan Fuchs: Okay. Yes, yes.
Anil Shenoy: Right. Sorry. So I had 2 questions. One on -- the first one was on cost-cutting measures. You spoke of seeing the initial impact of these cost-cutting measures in Q3. So does that mean we'll see the full impact in Q4, which in turn would imply that there will be a higher contribution from cost cuts in Q4 compared to that of Q3? And also, if you could give us some color on the nature of these cost-cutting measures, please. I'm just trying to understand if these costs are expected to come back in 2026? Or is there any chance that there are more scopes for more cost cutting if macro conditions do not improve in 2026? So that's my first question. And secondly, and I'm sorry if I missed this, have you lowered the bonus provisions for 2025, given that you had to cut your guidance in Q2? And if you have, then have that by any chance benefited the Q3 results? And could that benefit Q4 results as well? So that's all I have for now.
Esma Saglik: Anil, maybe let me start with your first question. So the last time when we got the question, we said actually the nature of our cost measure program is around lower double digit. We do not -- we started this package or actually, we started about talking cost measures and reducing it already in May, June. So we are seeing a quite significant impact already in Q3. And I would expect, and that's actually how we face it, more or less balancing or having the same amount also in Q4. Coming to your second question, initially, I think it was last quarter, I also stated that we are not doing results by reversing bonuses, et cetera. So far, our KPIs are on the level as last year, and that's actually how our bonus is driven. And we have, as we are normally usually doing our bonuses for 9 months in. So year-over-year, you should not expect actually any pluses or minuses a big impact coming from any bonuses. And the same relates to Q4 as we are targeting or heading up achieving the 2024.
Operator: We will now take our final question for today. And the final question comes from the line of Lars Vom-Cleff from Deutsche Bank.
Lars Vom Cleff: Well, first of all, I'm glad that you specified your Q4 EBIT outlook because when I first saw the Bloomberg headline saying that you expect profitability to be on the previous year's level for Q4 I was scratching my head how that could then work with reaching our guidance, but that is clearly understood now. Looking at Q3 and EMEA, profitability was nicely up. Revenue were flat. I guess some of these positive effects were also already coming from the cost avoidance measures, especially in EMEA, correct?
Esma Saglik: Yes, that's correct.
Stefan Fuchs: But you also noted in EMEA, all the equity results where you get EMEA [indiscernible] yes, correct.
Lars Vom Cleff: Okay. Perfect. And then looking at the split of the EBIT by division, I saw that holding and consolidation EBIT for the first 9 months was EUR 3 million, and I know it was a EUR 3 million positive contribution in H1. So holding and consolidation must have been minus EUR 6 million in Q3. Is this cost for the implementation of these measures? Or am I missing anything?
Esma Saglik: Lars, you gave the answer already. It is actually related to our transform to grow project and which is sitting there right now.
Lars Vom Cleff: And that was it? Or is there anything additional to come in Q4 or maybe early '26?
Esma Saglik: You mean from the cost base there?
Lars Vom Cleff: From the cost side, yes, yes, not...
Esma Saglik: We are running this project, but it's on budget. And yes, it will be actually a project for the next years, which -- and the cost will evolve accordingly.
Lars Vom Cleff: The cost for the implementation or the reduction of your production costs?
Esma Saglik: No, the cost of the implementation.
Lars Vom Cleff: Okay. Okay. Understood. And yes, I mean, you call it targeted cost avoidance measures, but I guess you already gave the answer. To a certain extent, I was afraid or I was worried that this could also be partly a postponement of costs into the next years, but you're more or less not only avoiding the costs, but also taking them out as I take it or cancel these costs.
Esma Saglik: Yes. Lars, I mean, what are we doing is of course, being a bit more cautious if everything what we are spending right now is really needed to be spent. And if you look at travel, if you look to consulting fees, et cetera, that will not bounce back again. It's just not the spend we are doing right now.
Lars Vom Cleff: Understood. And then last one, net working -- or net operating working capital to annualized sales revenues, you guided for a range or had a target range of 21% to 22% in the past. Is that still valid? Because you haven't achieved that for the last 2 years now?
Esma Saglik: That's a fair question. And I'll see it the same way as you from a CFO perspective, and that will be also our guidance going forward. Of course, we have to see our setups, et cetera. But nevertheless, that should be actually what we should target for.
Operator: That was our final question for today. I will now hand the call back to Andreas for closing remarks.
Andreas Schaller: Yes. Thank you very much, Sharon, and thank you very much to all of you for your interest in our company and the earnings and for your questions. We look forward very much to seeing hopefully all of you then at our Capital Markets Day next year. And the next earnings publication will be on March 20 when we publish the full year results. So thank you once again for your interest. If you have further questions, don't hesitate to contact the Investor Relations team, and you may now disconnect. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may all now disconnect.